Dave Huizing: Good morning and thank you for joining today's call. I'm sitting here with Dimitri de Vreeze, our CEO; and Ralf Schmeitz, our CFO. We published this morning our first half results, together with the presentation to investors, which you can find on our website. Here, you can also find our disclaimers about forward-looking statements. Dimitri and Ralf will start by making some introductory comments on our results before we will open the line for questions. Important to remind that sell side analyst who want to ask questions have to register via the questionnaire's link, which they can find on our website in the financial calendar. If they've not done so yet, you can still switch. And with that, let me hand over to Dimitri.
Dimitri de Vreeze: Yes. Thank you, Dave, and good morning to everybody. A pleasure to see and hear you on this call. Before we zoom in on the results, I would like to zoom out a little bit first to put things in perspective within our journey to bring progress to life. And let me start with the journey and I'm not going through the whole capital markets presentation. But I want to say a little bit the coloring of the context where we are today. So merging two iconic companies together, we're starting the integration and also the start of the vitamin transformation program. And you've seen in our first half results that we are quite well progressing according to plan. The integration booked for EUR50 million in the first half and the vitamins being the first EUR45 million in the first half helping our results for the first half. So we're really on track with these two important programs. Then the focus, as we've announced earlier this year, carving out ANH. So I'm happy to say that we are making really good progress in 2024. Remember, 2024, we'll use to carve out ANH to be ready for a transaction to be executed in 2025. And then on tuning, remember in the Capital Markets Day, we highlighted five segments where we feel that they will benefit in a different setting, where we really focus on the consumer businesses with higher growth, resilient margins. We have announced two deals, yeast extracts and marine lipids, in a way that we think we can capitalize on the value. A yeast extract deal with a good deal with a player in yeast extracts, Lesaffre, securing ingredients for us in a capital-light way. And with marine lipids, really working together with KD Pharma, where we continue to have a 29% stake where we can capitalize on the synergies and prepare for a staged exit, really valorizing on the value of that business. Then we have a third segment, which we have pointed out with the agro ingredients, and we continue to work on that. And obviously, we'll communicate when we have a final outcome there. And then we have Aroma Ingredients and nondifferentiated vitamins. These two segments will go with the Animal Nutrition & Health scope. So quite some progress also on the tuning actions, which will mean that we could accelerate our businesses. And we said earlier we will grow what we have. I think Q2 is a good reference for that. We anchor what we do. And we're going to deliver on our promises and we're very happy to say that Q2, in terms of growth and in EBITDA, is a good reference on what we're trying to build. And then if we go through a little bit the group financial highlights. On the next page, you're going to -- with the highlights on the overall first half. You see a strong improvement of the financial results with the exceptional strong growth in Perfumery & Beauty, including a good contribution from recovery in Ingredients. Strong performance on Taste, Texture & Health. Health, Nutrition & Care returned to volume growth on higher demand of dietary supplements and a significant improved results in Animal Nutrition & Health with good growth -- strong growth in Performance Solutions and higher vitamin profitability. Well, having said that, it brings me to our outlook. Based on this positive momentum continuing as well into the third quarter and our commitment to deliver the EUR200 million adjusted EBITDA contribution from the synergy program and the vitamin program in 2024, although we need to remain cautious if you look at the end-user data towards the end of the year and where our customers operate and as we've referenced too, we do feel with that momentum that we should upgrade our full year outlook and we've done that by bringing it from at least EUR1.9 billion to an adjusted EBITDA of around EUR2 billion for 2024. And with that, I hand it over to Ralf to give a bit more color on the financials and the businesses. Ralf?
Ralf Schmeitz: Well, thanks, Dimitri, and good morning to all of you and happy to see you virtually just ahead of the summer break. Let's start with H1 results. As usual, we provide the splits around top line and bottom line and give you some insights on the moving pieces. And what is worth highlighting here is that whilst H1 is still impacted by a vitamin effect, we actually saw that turning to a positive contribution in the second quarter where you see a reduced impact, negative impact, where Q1 was still impacted by EUR80 million. We see a less impact in Q2, which is supporting our results on the back of the good and positive momentum in vitamins. Now looking at top line, let's start at the first line in P&L. So overall, organic growth for the half at 4%. 6% volumes. And again, in the first half, we have the impact of Pinova, the site that got lost last year. It will be the last quarter where this impact is there. If you factor that in, volumes would be up 7%. That has translated into a step-up into EBITDA as well supported by also the benefit from the programs coming through. So both the synergies and the vitamin transformation program added EUR95 million in terms of EBITDA in the first half and we also saw a step up in margin. So if you look at the half and we'll look at the quarter in a second, you see a sequential step-up in margin of about 1%, but also comparing into the second half of last year, you almost see a 2% step-up in margin. Like I said, the overall half is still impacted by a negative FX. Overall, about minus EUR25 million versus prior. And the net vitamin impact in the quarter is about EUR65 million negative, leaving a good step-up organically, with a very good contribution from P&B and TTH and we see the momentum turning in HNC and ANH with a good step-up in profitability, but we'll zoom in on the BUs a little later. Then let's look at the quarter, the most recent one on the next page. Overall, P&B and TTH, a very strong performance, and I'll come to that in a second. Overall, as a group, we had a 7% organic growth, fully volume driven. Volumes were up 9%. Again, adjusting for Pinova, they were up 10%, which is a very nice step-up. And also the EBITDA is 26%, up versus prior year, and margin is to 16%. Continued positive momentum and positive development on that side as well. The overall FX impact is about minus EUR10 million for the quarter. But like I said, the positive momentum in vitamins offset that fully in the quarter. Now let's look at the individual BUs for a bit more color on the individual performance and how we land at each of the quarters. Starting on the next page, please. We start with P&B, and P&B had a very strong performance in the second quarter, especially as this is normally seasonally a little quiet quarter. Overall, very strong volume growth. Volumes were up 17% in the P&B unit. Adjusting for Pinova, even higher, there's a 2% impact from that. Somewhat lower pricing, predominantly in the Ingredients space on the back of the pass-through of some lower input costs. But all-in-all, a very strong quarter from an organic growth perspective. That has translated into a step-up in EBITDA in the bottom line. So overall, we landed the quarter on EUR220 million of EBITDA, a step-up of 30% versus prior year, which is a very satisfying outcome. Overall, the margin in P&B, also very strong. The half landed on 22.6% with a somewhat lower margin in the quarter on the back of mix, but also some cost phasing between the quarters. And we also experienced a one-off cost in the range of EUR5 million to EUR10 million, impacting the margin in the second quarter. But all-in-all, a very strong performance for our Perfumery & Beauty business. Then turning to Taste, Texture & Health on the next page. Also a strong quarter in the second quarter. Also, very strong volume increase. So the organic growth for our TTH business was 11% with 12% volumes. Overall, price is fairly stable. And also here, both divisions performed very well. So both the Taste and Ingredients divisions delivered a double-digit increase, benefiting from a strong demand and catch-up effects following the destocking of last year. And here, we also see the first benefits of the sales synergies actually coming through. Overall, EBITDA was up 16% in TTH, driven by the strong top line and cost synergies, up to almost EUR160 million. And also here, the margin is back up to 19%. You heard Dimitri say, here, we also concluded the deal around yeast extracts, giving us a strategic benefit on that side and a capital-efficient structure going forward. And it will be also supportive to the margins of TTH following closing, which is expected prior to the end of the year. Then turning to HNC on the next page. Here, we highlighted an improved momentum at the end of Q1. We also see that into Q2 with a good step-up in profitability, but also we're back to growth in HNC after a few quarters of negative growth. So overall, organic is 1%, with volumes up 2%, led by dietary supplements, which is showing good growth, especially in the algae omegas. There, we see strong demand. Early Life Nutrition, still characterized by the softness and destocking. And i-Health continued to deliver a strong quarter in the second quarter as well. Overall, EBITDA versus prior, adjusted for FX, is flat, where the benefits of the programs and synergies are offset by cost increases. However, important is the sequential step-up in EBITDA, and there, we saw a nice step-up to EUR94 million coming from EUR79 million in Q1 overall in HNC. Also here, as Dimitri said, the tuning, well advanced, concluding the deal on marine lipids, and also that will be positive towards the margin following closing when we go into 2025. Then last but not least, Animal Nutrition & Health. Here, we see continued strong performance in Performance Solutions. Again, a quarter of double-digit growth on the back of a very strong 2023 and also started the year. So that is very encouraging and we see nice growth in that business. Premix, showing growth as well. On the vitamins, we remain cautious. We continue to prioritize our cash performance as well and control inventory levels. However, we're encouraged by the positive momentum in vitamins as well. So we see that. But let me at least make a few comments around that as well. Pleased to see vitamin E stepping up, and that is a contribution when some of the other vitamins is still a mixed bag. And prices are not yet at the level where they should be, and we expect a continuation on that front. Profitability increased nicely as well within the quarter. So overall, EBITDA is up to EUR63 million, a good step-up sequentially from Q1, but also versus prior at a low of EUR17 million. And here, you see the benefit of the programs coming in as well as, for a better word, easing of the vitamin impact. We see the tight turn. We hit the bottom, and we're climbing our way back up on the back of positive momentum here as well. Overall, it translated into a margin of 8% and continued recovery to be pursued in Animal, Nutrition & Health. Now looking at the four businesses, how does that then translate into the overall P&L and you see that on this slide. And we see a nice flow-through of the step-up in EBITDA all the way down to earnings per share. And we have a little lower depreciation and amortization as well in the half, and H1, we had a few small impairments. So obviously, that is contributing to a nice step-up in earnings per share as well, and also our Finex is very much in line with the guidance, actually a little below. And again, we have a benefit versus prior. Prior was impacted by the energy derivatives. So we see a nice step-up in earnings per share for the half, up more than 50% versus prior. Now then how have we done on cash on the next page. Overall, continue to pursue on our cash ambitions. We're committed to that. Let's start with working capital. We see a reduction in working capital. So the percentage landed a little over 30%. Now in all honesty, there is a bit of tailwind from the shift of the two businesses to animal held for sale. Adjusting for that, we would have landed in the low 31s, which is an encouraging step-up. And you have to keep that in mind whilst we're growing the business. We have a very strong organic growth, especially in the second quarter. So around receivables, we see a nice step-up. Our DSO is very much under control. But obviously, when the receivables go up, fueled by growth, we don't necessarily have an issue with that. Inventories remain under control. You have the seasonal buildup in the first half as well whilst we're getting ready for summer stops, especially in the vitamins where we might also prolong the stops a little. So there, you see some inventory buildup. But compared to the year-end position, inventory is very much at a similar level. Now that all translated, before I comment on the overall cash flow, let me highlight also CapEx. Overall CapEx landed at 5% of sales. We remain prudent and disciplined on that. But here also, typically, our H2 is a bit higher than H1. That then translated into a good step-up in cash flow in the half. So we landed at EUR460 million of adjusted free operating cash flow, which is EUR175 million more than last year, 60% up. A cash conversion of just under 50%. And again, usually, we see a better step-up in the second half given that we then see the unwind of the inventory build that we have typically in our businesses in the first half. That brings us to the overall outlook for the year, around EUR2 billion. I'm not going to repeat Dimitri, but we see the continuation of the benefits of the programs. EUR95 million in the first half, EUR200 million for the year. And also the positive momentum allows us to increase the outlook overall to around EUR2 billion. Some housekeeping rules as well, very consistent, no change there, all coming in, in line as the previous guidance given. And let's then see how that translates into the overall debt position and the outlook for the year. On that front, on the next page, we've seen an increase in net debt to EUR3.4 billion, very much in line with our expectation. As in the guidance for the year, the big cash outs are typically in H1. Last year, we saw the dividend actually move to July, but here, we're back to the normal rhythm. It's paid in H1, which represents the largest cash out in the first half. But also we completed the squeeze-out for the minority buyout, leading to a further cash out and some hedges. So very much in line. And we also guide for a rebound in the second half on the back of strong operating cash flow, as discussed before. Overall, our debt will land within the guidance of 1.5 times EBITDA as highlighted before. And let me pause there and, Dimitri, give it back to you for a few words on sustainability, ESG.
Dimitri de Vreeze: Yes. Indeed, Ralf, thanks for that. I think we're a people, planet, profit company. So I think good momentum on profit. I also have to say, probably say we also have good momentum on the people and planet front. Here you see a few of our targets we've set on the people part. Safety is improving, a lower number, the less number of recordables we have although we're not happy where we are today. Still, I think, it needs improvement. And the engagement, that was the engagement done in January. We do it on an annual basis, but you see that our people are very much engaged and buying into the value of bringing a company that brings progress to life. On planet, happy to say that we have reduced our Scope 1 and 2 emission. You can see it here, 21%. That's the combination. And therefore, you see that in the first half. We did a lot of work in getting the data transparency there. Also happy to say that we made a step-up in terms of purchased renewable electricity, 88% to 92%, with a set target to be 100% in 2025 in line with the climate target, which we have submitted to SBTi for full validation, which are fully in line with the Paris Accord to 1.5 degrees. So we're waiting for that validation. And hopefully, we can announce that quickly, but that's a process where we want to have external validation on our road map. I think it's fair to say that also on the Sustainalytics and the MSCI, we get strong ESG ratings, low ESG risk from Sustainalytics, AAA score on MSCI. We continue working on our sustainability profile going forward because it's part of who we are. So with that, an update on people, planet and profit. I'll give it back to Dave to open the floor for Q&A.
Dave Huizing: Yes. Thank you, Dimitri. Indeed, we are ready for Q&A. So let me remind you that the sell-side analysts who want to ask questions in this session who haven't registered via the questionnaire's link and they can still do that if they have not done that yet. Let me check with the operator if we're ready to start with the Q&A. Operator?
Operator: Ladies and gentlemen, we'll now begin our Q&A session. [Operator Instructions] Our first question comes from Charles Eden at UBS. Please unmute your line and ask your question.
Charles Eden: Hi. Good morning. Just checking if you can hear me okay.
Ralf Schmeitz: Loud and clear. Good morning, Charles.
Dimitri de Vreeze: Yes.
Charles Eden: Good morning, both. So just two questions for me, please. Firstly, on P&B, an extremely strong volume performance in the quarter. Could you please help us break down the 17% volume growth between the three business units, so Perfumery, Ingredients and Beauty & Care because obviously, very, very strong volumes? My second question is on vitamins. And I know soon enough, we won't have to talk about vitamins in any meaningful way. But given you mentioned the EUR15 million benefit from improved vitamin profitability in ANH in Q2, could you help us understand what benefit you'd expect from Q3 and Q4 on current spot prices? Or maybe you can confirm the sensitivity on your annualized EBITDA for every $1 per kilo move in vitamin A and vitamin E prices. I think on legacy DSM, you used to refer to about a EUR20 million to EUR30 million annual impact, but maybe you could confirm or deny that. Thank you very much.
Dimitri de Vreeze: Yes. All right. Let me take those two questions. Thanks for those questions. So of P&B, I can be short. Perfumery, Beauty & Care and Ingredients, all three had double-digit. So it's nice to not make any distinctions. So that, to your background on volume growth. In terms of vitamins, let me take some time to that because, I think, it's good to understand. First of all, in the context of what we're building as a company, remember, any vitamin questions are linked to a strategic context where we decided to carve out ANH to reduce the volatility of vitamins. Nevertheless, I think it's important to understand a little bit the setup, and I want to take some time to do that. So first of all, on the vitamins and I'll come back to some of the sensitivity in a minute, Charles. So what we see is that spot prices are going up. And you also need to remember that spot price is not that immediately impacting to the contracts. That takes a little bit of time. On ANH, it's quicker than on HNC, but it takes time going forward. By the way, we've seen the same when they were going down. So it's a dampening effect. Secondly, you need to be aware that if you talk about the category of vitamins, we bring it down from around 15%, both ANH, to 7%, 8%. And with the tuning, we'll bring it more into towards 5%. But from these vitamins, and we have 13-plus number of vitamins, vitamin E and A are important vitamins in terms of impact. If you remember well, we always said that on vitamin E, EUR1 is about EUR15 million on an annualized basis, right? So that is something you need to be aware of. So let's look that vitamin E a little bit. Average '23 was about 7.5. Average H1 was also 7.5, but we do see momentum on the swap prices going to 9.5. So Q1 and Q2, you don't see that huge effect, but you see the positive vitamin effect as more linked into the costs. Vitamin A, however, that's a big chunk of it as well. And remember, prices were at 50, 60, and we're normalizing on average at 22 at average 2023 prices. H1 was around average around 20. Spot prices indeed are now into the 22, but it's basically at a level where we're not seeing very sustainable volumes and profitability. And that's also why we continue having the shutdowns in Sisseln in Q3, by the way where vitamin A and E, asset-wise, are linked. So that a little bit on the vitamins. And then the components what to expect. So we see, on the vitamins, different components. So first of all, it's the cost and the cost program, and that is helping us in the first half, and that will continue in the second half. Secondly, you have the idle component also linked to volume. We're still very hesitant on the volume. We're also holding back a little bit. We need to be careful there. So idle and volume component will not help us in the second half. The pricing component could be because if you look at the spot prices, the vitamin E prices will help us into the second half of the year, more into the last quarter four than in quarter three. But it's vitamin E. Remember, vitamin A and the others, you see some uptake. But if you compare to year-on-year, that's not really helping us. So let's be careful that we see a positive momentum. That's good. But if you'd make the calculation for the second half, vitamin E will help us a little bit, and EUR1 is about EUR15 million on an annualized basis. So if you take the 7.5 on average to 9.5 current spot prices, it's EUR2, which will mean EUR100 million annualized, and we will see that effect predominantly into Q4. So a few tens of millions help towards the second half. However, we're happy with the positive momentum to set that aside. A bit of a longer story on vitamins, but I think it's important for us to shape the context a little bit.
Charles Eden: That's really helpful. Thank you very much.
Operator: Our next question is from Nicola Tang at BNP Paribas. Please unmute your line and ask your question.
Nicola Tang: Hi, there. Thanks for taking the question. I wanted to ask a little bit about volumes in general, but I suppose, particularly around P&B and TTH and the strengths there. I was wondering to what extent this reflects underlying demand versus potentially some restocking. And what volume assumptions are you baking in, in your upgraded guidance? And then a sort of second question but linked to this, you talked about continued momentum into Q3. Last quarter, on the call, Ralf, you gave some helpful color basically running through each of the divisions than what you are seeing in terms of current trends and sort of order book patterns by division. I was wondering if you could do the same again. Thanks.
Dimitri de Vreeze: Yes. Let me take the businesses along and then hand over to Ralf for the upgraded guidance. So first of all, on P&B and TTH, you were asking about restocking. Unfortunately, I have to say that if customers are ordering, they don't indicate whether it's restocking or whether it's normal or where it's innovation. So that feature, maybe we should think about, although I'm not sure whether our customers really know themselves. But let me share just a little bit of feel we have. So it's not rocket science. It's a bit of a gut feel we have. So let's go through P&B first and then TTH. What do we see in P&B? We do see that the percentage use of fragrance in end products, certainly post-COVID, has increased. So that help us overall in terms of growing the cake. Secondly, what we've seen at the innovation pipeline is really being filled and that basically fragrance use in new product launches are there. And it also means that our customers are looking a little bit about the value chain. And remember, last year, maybe there was a bit of destocking, and that certainly is not the case anymore. And maybe we even see some restocking. I think we should not deny that maybe some restocking is taking place in Perfumery & Beauty. And then last but not least, in the Ingredients part, remember, we had Perfumery, we have Ingredients and Beauty & Care. The Ingredients part, remember, it was a bit soft in the last one or two quarters. We have our improvement program running, and we do see that Ingredients businesses are normalizing a bit. And therefore, we see that good momentum also in Q2. And for Perfumery & Beauty, we do see that momentum going into Q3. So I think we're confident. One of the reasons why I think we also upgraded our outlook. TTH, a little bit the same story in terms of restocking. Also there, I think destocking has faded, and maybe some restocking is appearing. Full innovation pipeline, we see the first benefits of the sales synergy on predominantly the cross-selling. And we also see the effect of the choice to play in the blue ocean space. So if we go to the sugar platform, the plant-based platform, if we develop ingredients with a customer to reduce sugar in their formulations, sugar is pushed out. We're not part of the sugar market. So it's growth. It's blue ocean growth for us. So overall, I think that works in our favor with the synergies and particularly also our regional growth with our regional player, where we have a global regional approach in our Taste, Texture & Health business for the whole Taste part. So that is on TTH. So on Health, Nutrition & Care, I think we see a good business in biomedical, and i-Health really continued their strong performance. Pharma and medical are continuing that. And dietary supplements, we see an improved business condition. We already highlighted, I think, that in quarter one where we saw the AC Nielsen index data improving. We see now that also in our portfolio, and we see that continue into Q3. Early Life Nutrition is an ongoing destocking. However, if you look at the innovation pipeline, also the HMOs, we do feel after that destocking will fade away somewhere, somehow. But in Q2, we did still see some destocking in the Early Life Nutrition place. We see that HNC is on the right track. The quarter two is back to positive organic growth. And then ANH, I think, we discussed about. And having said that, build that down into the outlook, Ralf. Why did we upgrade our outlook?
Ralf Schmeitz: Yes. No, it's a good question. And obviously, we're benefiting from the momentum in Q1 and Q2, and we also see that. So to your question, Nicola, and thanks for that, what have you baked in into the outlook, we see the good momentum in P&B and TTH continue into the third quarter. And that is obviously something that we baked in. Now in these businesses, you also have to take into account that Q4 is typically the weakest quarter in the year. So you see continued good growth into the third quarter and normalize that in Q4. If you look at HNC there, you typically see biomedical and i-Health having a strong step-up in the second half, with i-Health typically having Q4 as the strongest quarter as highlighted before. So on the back of some easier comps, we have good growth in HNC as well. And on Animal Nutrition, there is an improved momentum, but we're going to be careful in terms of volumes. We want to see the prices go up for vitamins, as highlighted by Dimitri. I think gave an elaborate overview on how the vitamin dynamics actually are. ANH typically has a stronger second half than first half. However, keep in mind that we also have the stops in the third quarter, typically impacting our EBITDA as well. So that is all included in the outlook with obviously a continuation from the benefit of the programs.
Nicola Tang: Perfect. Thank you so much.
Operator: Our next question is from Matthew Yates at Bank of America. Please unmute your line and ask your question. Go ahead, Matthew. Our next question is from Eric Wilmer at Van Lanschot Kempen. Eric, please unmute your line and ask your question. Eric, please go ahead. We will move on to Artem Chubarov, you are up next, at Redburn Atlantic. Please unmute your line and ask your question.
Artem Chubarov: Hello and good morning everybody. Just to check if you can hear me well.
Dimitri de Vreeze: Luckily loud and clear. I was worried.
Ralf Schmeitz: Yeah, three in a row would be too much.
Artem Chubarov: Thank you. I've got one on Perfumery & Beauty volumes. Obviously, some really impressive number on volume growth. But just to understand the moving parts, in Q1, you have volumes up 4%. And now you have volume was up 17%. What has been the difference between those? Because if I recall correctly, in Q1, you mentioned stepping away from some nonprofitable activities, which, I presume, might have kept the volumes lower. Is that the only reason why the volumes have moved up so much? Or is there anything else behind this? And the second, a very quick one on the net debt, Slide 13, is that including or excluding the hybrid, the number you have on the slide? Thank you.
Dimitri de Vreeze: Yes. All right. Let me take the P&B volume part. I mean, indeed, if you have a step-up from plus 4% to plus 17%, it needs to be across the board. And it is across the board. Remember, it's a big step-up in the Ingredients recovery and normalization, but it also has to do with, I think, great performance in Beauty & Care and Perfumery. Remember, in Q1, we basically said we have a full order portfolio and also a full innovation line. So we were pretty confident that Q2 will bring in. And let's face it, you don't need to look at one quarter as being the proxy of the valuation business. I mean we have innovation pipeline and order pipeline, and sometimes you win a brief, which you just deliver at the end of June or beginning of July or so you need to look at on the overall trending. And I think if you take Q1 and Q2, I think overall, that gives you a good proxy of what our innovation pipeline and briefs look like. So I'm very happy to see that. But in Q2, all three businesses brought it together, and that makes the step-up. And then on the net debt?
Ralf Schmeitz: Yes. On the net debt, that's excluding the hybrid. So that is consistently excluded in the overall overview as we usually exclude that, given the equity credit of the rating agencies.
Artem Chubarov: Sounds good. Thank you very much.
Operator: Our next question is from Isha Sharma at Stifel. Please unmute your line and ask your question.
Isha Sharma: Hi. Good morning. Just checking if you can hear me.
Dimitri de Vreeze: Good morning. Yes, loud and clear, Isha.
Ralf Schmeitz: Yes, loud and clear.
Isha Sharma: Perfect. Just two questions from my side. One is very straightforward. On the guidance, why not at least EUR2 billion and around EUR2 billion instead? And the second question would be on the volume momentum you have -- we have seen. And obviously it was -- its surpassed market expectations and especially at the two divisions mentioned also before. Why don't we see the volume leverage translating to sequentially higher margins and this, especially, the cases at Taste, Texture & Health, please?
Dimitri de Vreeze: Okay. Let me so we turn it around. I will do the outlook, and then Ralf will do TTH. So on the outlook, around is around. And like Ralf was said, there are things about the second half where H1 normally is a bit better than H2. We have the vitamin price momentum, we have the growth elements, where Q3, we had the stops. So let's not repeat all of that. Normally, Perfumery & Beauty and TTH have, quarter four is the weakest from all the quarters in there. So we also don't want to say rocket science. So around is around, and I think semantically, it's around. And then maybe on the volume part with the leverage on TTH?
Ralf Schmeitz: Yes. So overall, we're happy with the performance development in TTH. So we see a continued absolute step-up in EBITDA as well. And the question on the margin is that you have to look at that over across a couple of quarters, where we also in TTH, we saw margins being impacted. And if you go back to Q4, we were at 17%, and then sequentially, we moved up. So it's always difficult to track on a quarter-to-quarter because it also depends on did you encourage or incur some costs around some of the stops and the like. So that is something that is impacting these numbers as well. But overall, we are targeting a continued improvement there. And the margin is now back up to above 19% which is something that is a good starting point for TTH, and we'll continue to see progression there. And also with the tuning of the portfolio, as highlighted before, following the exit of yeast extracts, so we'll see continued improvement in line with the guidance and margin bridge that we also showed at Capital Markets Day. So it's very consistent with that. But it's also not a straight way to have where you see an improvement month-over-month. It's also very much impacted on the seasonal effects of how we run the business.
Isha Sharma: Thank you very much.
Operator: Our next question is from Fernand de Boer at Degroof Petercam. Please unmute your line and ask your question. Fernand, please go ahead. Our next question is from Chetan Udeshi of JPMorgan. Please unmute your line and ask your question.
Chetan Udeshi: Hi. Can you hear me?
Dimitri de Vreeze: Yes.
Ralf Schmeitz: Yes. Good morning.
Dimitri de Vreeze: Now we can't hear you anymore. Hello?
Chetan Udeshi: Hello?
Dimitri de Vreeze: You're a bit scrambled.
Chetan Udeshi: Can you hear me now?
Ralf Schmeitz: Yes.
Dimitri de Vreeze: Yes. You're back.
Chetan Udeshi: Okay. Sorry about that. I don't know what's going on. But just on guidance, the H2 implied is just over EUR1 billion. And I think you mentioned about the seasonality in Q4 tends to be slightly weaker. So is it fair to assume you are looking at Q3, maybe something close to EUR540 million or so and then step down? Or you expect a more even split between Q3 and Q4 given also you talked about possible help from vitamins in Q4? And the second question was a bit more straightforward. The two asset sales that you announced recently, a good progress there in terms of asset sales. But you've taken an impairment, and I've seen you have a table at the back showing the net assets of the combined co, which tends to be or is it close to be -- is close to be EUR150 million. So is that the kind of ballpark you are now expecting even that you in terms of sale value given the fact that you've written off the value of at least one of these assets or you think you can do much more than that? Thank you.
Dimitri de Vreeze: Okay. Ralf will do the asset impairment and I will -- can be short on the guidance. We do an outlook for the full year. I don't feel compelled to do an outlook per quarter, if you may. I think we gave some highlights and the impact on what to expect for Q3 in terms of stops in business and what to do for Q4. The full year outlook is around EUR2 billion. I'd like to keep it that way. Ralf, on the impairment?
Ralf Schmeitz: Yes. So well spotted. So the overall asset value is indeed, I think, it's EUR178 million. So it's closer to EUR200 million. But in terms of impairment, let me comment on that. So you have to look at it. The asset value is actually the combined value of the yeast extracts and the marine lipids business. Now we took an impairment on marine lipids. Obviously, in accounting world, you carry the goodwill from history as well. And whenever you do a divestment, you need to allocate the goodwill of that proportionately, and that has impacted or basically triggered that impairment of about EUR90 million on the business. Now it's not representative. The asset held for sale is not representative of value because, I mean, overall, like I said, it presents both businesses and also on -- whilst we took an impairment on marine lipids, yeast extracts' profit can only be taken at the time of closing. So we do expect more than that combined value for the transactions.
Chetan Udeshi: Thank you.
Operator: Our next question is from Georgina Fraser at Goldman Sachs. Please unmute your line and ask your question.
Georgina Fraser: Hi. Also checking that you can hear me.
Dimitri de Vreeze: Loud and clear.
Ralf Schmeitz: Yes.
Georgina Fraser: Excellent. Thank you. I haven't thought very -- how to articulate this question very well so bear with me. What is the -- it was a good start, right? Good start. So what is the regulatory or policy backdrop that you might be seeing with relation to potential tariffs in vitamins? Just thinking about how it's a very concentrated market in Europe, and there isn't really any production in the US. Is that -- are there assumptions that you've made around the evolving environment? Are you seeing, at the policymaker level, any considerations about tariffs for vitamins versus the Chinese competition? Thank you.
Dimitri de Vreeze: Yes. Well, I think it was well articulated. Thanks for that. So we did not make any assumption on it because I think it's difficult to make any assumption on it. But if it will be implied it will work positively for us.
Georgina Fraser: Okay. So sorry you're saying it would be, sorry, I didn't hear the end of your answer, Dimitri.
Dimitri de Vreeze: If it will be implied, then it will be positive for us because I think 75% of the vitamin production is made in China. And you know that we have closed our B vitamins and vitamin C in China. So we have some vitamin production left, but we also have European based. So you will get a different balance, which will, net-net, really help us.
Georgina Fraser: Okay. Great. Thank you.
Dimitri de Vreeze: But we didn't factor anything in because, I mean, you don't know what's going to happen. And in all fairness, to build a strategy on import duties, I don't think it's very right either.
Georgina Fraser: Fair enough. Thank you.
Operator: Our next question is from Alex Sloane, Barclays. Please unmute your line and ask your question.
Alex Sloane: Yes, hi. Good morning all. Just two clarifications for me. Just the first one, you obviously, EPS in the first half, beat quite nicely versus consensus, obviously, in part, on the operating result but also, in part, on the lower financial expenses. In the housekeeping guidance, you've not changed the guidance on that. Does that imply that there's kind of a catch-up in the second half? Or can that below-the-line tailwind carry through to the full year? The first one. And then just on the second one, thank you very much for the moving parts on the ANH outlook. Just wanted to clarify in terms of the stoppages and the impact there, would that be expected to be higher year-over-year in the second half? Thanks.
Ralf Schmeitz: All right. Let me take the first one on EPS. So indeed, we haven't changed the outlook or the guidance or housekeeping for that matter on some of them. If the question is specifically around the Finex, I think you can add the guidance to the H1 reference and then you're there for the year. So we benefited a bit in H1, but expect that to normalize around the EUR35 million a quarter. So overall the year is somewhat better than four times the guidance that we gave at the beginning of the year. So not necessarily a catch-up effect to be expected in the second half. Dimitri, do you want to take it away?
Dimitri de Vreeze: Yes. On the stoppages in the Q3, remember, last year, we already deliberately made an extended shutdown. That was an extended-extended shutdown. We're currently having an extended shutdown. But we will watch a little bit what's happening in August to decide how long we want to extend our shutdown. So I can't give you directly the answer to it, but prior year, it was already an extended-extended shutdown because of the vitamins. Depending on how the vitamin prices are moving, we will decide somewhere throughout August whether it should be extended or not.
Alex Sloane: Thanks very much.
Operator: Our next question is from Matthew Yates at Bank of America. Please unmute your line and ask your question.
Matthew Yates: Hey, gents. Trying again, can you hear me okay?
Dimitri de Vreeze: Yes. It worked. Good.
Ralf Schmeitz: Yes.
Matthew Yates: Okay. All right. A couple of quick questions just around margins, please. On Fragrance, the margin went backwards a little bit sequentially. The top line didn't. Ralf, you mentioned some cost items. Could you just elaborate a little bit why there is that phasing and, if you're describing something as one-off, why that wasn't treated as an exceptional? And on the human business, nice that we're back to volume growth, but margins are still far, far below the 20% plus level that this business used to operate at. How much of that delta is dependent on vitamin price recovery? And what are the other things that are more controllable, whether that's sort of the portfolio pivoting or anything else just to get us back above 20% margins in human? Thank you.
Ralf Schmeitz: Let me comment on the Fragrance piece. So overall margin dropped indeed a little in Q1. So overall, the phasing is more often related to production. And the big driver is also, obviously, the mix where whilst we focus on value in Ingredients, we saw a good underlying demand in many of the segments that had a little impact on the margin. At the same time, we saw some production cost typically in the second quarter where we have a bit of stops in some of these plants as well. The one-off is more related to the implementation of a system upgrade in our DRT business. It was anticipated, and we basically take those costs as part of normal activity. So despite the fact that it's a one-off cost from a business perspective, this is not something that is exceptional and ordinary and should not be taken out of our running results, hence it's in the margin, explaining a somewhat lower margin in the quarter. But again, looking at it on overall, a very nice step-up in P&B, and that is something that we continue to move on forward. With respect to HNC, does it depend on vitamin recovery? No. I think what we explained is that part of the impact in vitamins is also on the back of the volume growth. So now with dietary supplements on the way up, that's going to be supportive. But obviously, we're also allocating these costs across the divisions that have an outlet for vitamins. So on the overall volume development, that's going to help restore the margin. But here, we also see good growth opportunities in biomedical, i-Health, pharma. That is something that we're focused on in terms of upgrading our portfolio, and the tuning effort in that sense helps as well. So if you look at the margin buildup and bridge that we presented at Capital Markets Day, very much focused on all of these areas, where on the one hand, we're improving our cost base in vitamins and that will drive it up. So it's not necessarily dependent on vitamin pricing, although that obviously helps, but it's more volume driven. And at the same time, we're focusing on optimizing and growing the portfolio where we see an above-average margin in the HNC portfolio.
Matthew Yates: Okay. Thanks, Ralf.
Dave Huizing: We're approaching 10 O'clock. So one last question, a quick one before we round off. The last question, operator.
Operator: Yes, our last question is from Fernand de Boer at DeGroof Petercam. Please unmute your line and ask your question.
Fernand de Boer: Can you hear me now?
Ralf Schmeitz: Yes.
Dimitri de Vreeze: Yes, super.
Fernand de Boer: Yes. Okay. Very good. I have actually a couple of questions. But on the fish oil prices, why cannot because these are already high for a very long period, why cannot you pass this on to your customers? And at the same time, I guess, in Veramaris, you should have the benefits of this very high fish oil prices. It could help you to try to increase the price of algae-based oil. So could you explain?
Dimitri de Vreeze: Yes. Absolutely, indeed. So fish oil prices are high. We have passed them on to customers, so don't worry. But what we've seen is that the customers have passed it on in their end products, and that consumer say, it's too expensive. I'm no longer buying it. And so good luck. So that was a bit the value chain. Next to the fact that these fish oil prices remain on a very high level because of the structural overfishing of the ocean. And that's also why strategically we've chosen to make the deal to exit that business and capitalize it by the deal on KD Pharma. And we are benefiting from that on Veramaris. Veramaris is doing very well. It has growth. It's about EUR100 million, a couple of tens of million towards EUR100 million of sales in terms of growth. It is contributing positive EBITDA. Remember, it was one of our innovation big tickets before. So we do see the benefit from that. The only disadvantage is and was that the marine lipids business is slightly bigger than our Veramaris business. So net-net, it was negative for us. But strategically, going forward, with the deal we've made for KD Pharma and the accelerated growth on Veramaris, this will help us really strategically in terms of our growth, in terms of our margin, and that's exactly why it fits into the future of dsm-firmenich. So I think it fits your question where the background fits with the fact why we make these strategic process while going forward. And with that, Dave, I think we can.
Dave Huizing: Yes. We fully consumed our time. We promised we will stop in time. Ralf, any closing remarks?
Ralf Schmeitz: Yes, just maybe quickly. Well, thanks again, everyone, for joining on the closeout of an eventful H1. Like Dimitri said at the opening, we announced our strategy, made great progress with the ANH separation. We signed two deals around yeast extracts and marine lipids, progressing nicely on the tuning. And we've seen the business momentum pick up with the strong growth in the second quarter, and that coupled with help, with good self-help, we saw a nice step-up in sales, EBITDA and cash. We'll continue that journey going into the second half, and we welcome you all back after the well-deserved break for all of us. And we're going to see you at road shows or at the next earnings calls. And with that, Dave, you can close the call.
Dave Huizing: Yes, let me then thank all of you for attending today's call. As always, please, if you have any follow-up questions or other questions, reach out to the Investor Relations team. We're happy to take your call for your questions. And with that, we can end this webcast, and I give the call back to the operator.
Operator: This concludes today's call. Thank you, everyone, for joining. You may disconnect.